Operator: Hello, everyone, and welcome to the TechTarget First Quarter 2022 Conference Call and Webcast. My name is Daisy, and I’ll be coordinating today’s call. [Operator Instructions] I will now hand the call over to your host, Charlie Rennick, General Counsel to begin. So Charlie, please go ahead.
Charlie Rennick: Thank you, Daisy, and good morning. Joining me here today are Greg Strakosch, our Executive Chairman; Mike Cotoia, our Chief Executive Officer; and Dan Noreck, our CFO. Before turning the call over to Greg, I’d like to remind everyone on the call of our earnings release process. As previously announced, in order to provide you with an update on our business in advance of the call, we posted our shareholder letter on the Investor Relations section of our website and furnished it on an 8-K. Following Greg’s introductory remarks, the management team will be available to answer your questions. Any statements made today by TechTarget that are not factual including during the Q&A may be considered forward-looking statements. These forward-looking statements, which are subject to risks and uncertainties are based on assumptions and are not guarantees of our future performance. Actual results may differ materially from our forecast and from these forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our filings with the SEC. These statements speak only as of the date of this call, and TechTarget undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. Finally, we may also refer to certain financial measures not prepared in accordance with GAAP. A reconciliation of certain of these non-GAAP financial measures to the most comparable GAAP measures to the extent available without unreasonable efforts accompanies our shareholder letter. With that, I’ll turn the call over to Greg.
Greg Strakosch: Great. Thank you, Charlie. We are pleased to report that we exceeded our forecast in Q1, and we are raising our annual guidance. Additionally, we have repurchased 206,114 shares for approximately $14.2 million since our last earnings call. Today, we are announcing a new stock repurchase program of $50 million. I will now review our Q1 results. GAAP revenue grew 29% to $68 million. Adjusted EBITDA grew 39% to $26.6 million. Longer-term revenue grew 16% to $28.7 million represented 41% of revenue. Free cash flow was $24 million, representing 35% of revenue. The midpoint of our new higher annual guidance represents 20% revenue growth and 40% adjusted EBITDA margin, which equals the rule of 60. I will now open the call to questions.
Operator: [Operator Instructions] Our first question comes from Justin Patterson from KeyBanc.
Justin Patterson: Two if I can. First, could you talk about how the content to close model has changed your conversations with customers, how we should think about that growth rate persisting in a unique macro environment like we’re in currently. And then secondly, just on Priority Engine. I noticed you called out traction with small customers during this quarter. Any way to think about how we can envision the small opportunity playing out over the next year -- next months and years?
Mike Cotoia: Justin, this is Mike. In terms of the content to close. This is the capability that we have and we’ve launched and really focused on by looking at how buyers are really engaging with how they research information online. So there’s 2 parts to this. Buying teams want to make sure they have a very self-service, get information and access to relevant information when they need it, they leverage content, whether it’s editorial content that we produce, vendor content from our vendors, custom content, market data-backed content and unique content that’s relevant throughout the entire buying cycle. When we have made some of the acquisitions over the last 2 years, one of the key acquisitions we made was ESG. Enterprise Strategy Group, which was focused on creating market research-driven content for vendors to go engage with their buyers. As part of the ESG offering, they were getting into accounts very early at different buying centers than TechTarget historically have done. If you take a look at how we have historically done our business, we will work with our customers to execute on the program. They’ll come to us with content. We execute the program. We tie it in the Priority Engine. We integrate it with our other purchase intent-driven solutions and we help our customers prioritize and mobilize against accounts and against active prospects. With the ESG offering, we are now able to get into our customers at a very early cycle, whether it’s with their product group, their chief content strategists; their C-level folks who are shaping their positioning, messaging and overall content formulation; they are looking to make sure that they are creating relevant content that’s going to help engage by leveraging our technical validation, our market validation, our economic validation type of content. So it seamlessly fits in when we start building and helping our customers position very early, their product or their company positioning, it dovetails right into a strategy to put into and execute in a 360 campaign through our content syndication and our demand generation as well as our integrated products around brand, qualified sales opportunities, Priority Engine and help our customers then prioritize and mobilize and rank and help have a better propensity to close deals. So it’s probably the entire process that we’re doing. And why that’s so important is when you look at the attendees or the buying team constituents, people want information on their schedule. They want a self-service model. They want to make sure they have access to relevant information to help them make acquisition decisions with their respective companies and the technologies they’re going to buy. Being able to integrate the content strategy with the ESG offering all the way through the campaign execution and the prioritization of accounts and individuals provides an end-to-end solution that there’s no other that there’s no other vendor that can produce or supply our customers. So it’s really putting the pieces together, that’s really made a competitive advantage. In terms of Priority Engine, yes, we’ve identified that we’ve continued to see success as you saw there’s 20% growth in Priority Engine. We’re seeing a lot of traction with the companies that are -- that we see under $50 million in revenue, so we had new logos and new traction. And we expect that if you look at our total addressable market that we’ve identified in about 18,500 customers, potential customers and prospects, we’re sub-3,000, we see that there’s a lot of upside on that. And why we’re seeing some good success on that is because last year, we put a lot of efforts in development in the Priority Engine solution around the sales use case because -- these smaller companies might not have the sophistication of all the marketing resources and technologies and automation and tools, but the one constant throughout all those companies is that they have a sales force. And that sales force needs valuable first-party data, not only at the account level but at the individual prospect intelligence level as well as the buying centers to make sure they can identify and target the buying centers. And so that sales use case has proven out well for us, and we expect that to see continuous growth.
Operator: Our next question is from Aaron Kessler from Raymond James.
Aaron Kessler: A couple of questions. Maybe first just on the -- maybe the upside to the quarter and to the increased guidance for the year. Can you just call out any particular areas that are driving that? Is that kind of the sales use case? Or is that more kind of across the board. And then last quarter, you also called out kind of strength in content syndication and branding, maybe just an update there. And is there any concern maybe as the economy weakens a little bit that advertisers would pull back on advertising as we’ve seen historically? And then maybe a couple of follow-up questions.
Mike Cotoia: Great, Aaron. Yes, we’ve seen obviously, we had reported a great Q1 with a [b]. We raised our overall annual guidance, both on the revenue and on the adjusted EBITDA side. We are seeing strength across all of our products in all of our regions right now. And if you take a look at the trends that we talk about in the market, healthy and competitive enterprise IT market, company is modernizing their sales and marketing departments, Internet privacy, which bodes really well with our content, permission-based audience and first-party data. And companies transitioning with their digital transformation, investing in their digital transformation because of the shift from face-to-face events to online and digital. We’re going to continue to see the growth on that. And so we’ve seen it. I will say we understand that, as you mentioned that there’s some volatility in the market right now. I mean we see that inflation rates are high and interest rates are high and some of the valuations of the companies are low. But what we see is one cost and those trends that I just mentioned. Those are still bearing out in the short and long term around the modernization of sales and marketing departments, privacy, in the shift to digital transformation. So we expect this to continue to see growth. We haven’t really seen the impact today. Obviously, we’re looking at that and keeping an eye on it. But those 4 trends that we’ve mentioned consistently over the last 6, 8 quarters really continue -- those don’t change and those should bear well for us. On the content -- go ahead.
Aaron Kessler: Now. I was had a follow-up question, but yes, you can continue on that.
Mike Cotoia: On the content syndication and the brand, we talk about Priority Engine and we reported growth of 20%. And Priority Engine is our flagship product. First-party purchase intent data at the account at the individual prospect level, which continues to really do very, very well in the market. But I also think that people have to understand that the Priority Engine solution helps support and is a catalyst for all of our other products. Everything that we’ve driven is purchase intent led. So when our customers are looking at Priority Engine, and they’re in the platform, there’s a lot of things that they can identify. They can identify their share of voice. How they’re competing against their competitors in terms of content or branding or engagement. So being able to have that type of data to show our customers helps accelerate the investment around all of our purchase intent-led products, including content syndication, including our contextually aligned brand element. So in this market today -- and this should be really true in any market. But when you see market volatility, our customers really tend to hone in on quality and ROI in trying to capture share of voice and market share. So Priority Engine does a great job as a stand-alone, but it’s really integrated with all of our other products to show where a customer sits, where they’re falling behind, where they’re gaining traction. So it really helps support our other solutions that we bring to bear for our customers.
Aaron Kessler: Got it. Great. And just anything you’re having kind of U.S. versus international trends are fairly consistent?
Mike Cotoia: Pretty consistent. I mean we’ve seen growth across -- as you saw, strong growth across North America as well as outside the region and again, across all the products.
Operator: Our next question is from Pinjalim Bora from JP Morgan.
Unidentified Analyst: This is [indiscernible] on for Pinjalim, congrats on the quarter and the detail you guys provided. Appreciate that. First question is for the guidance you guys kind of provided for the -- for Q2 and for the full year as well as the results. It looks like the second half is going to be a bit slower than the first half. Is that just conservatism or kind of customers indicating any kind of tapering in their investments? Can you explain the dynamic there, please?
Mike Cotoia: Sure. That’s pretty consistent with how we’ve -- the seasonality of the business and how we do when you look at different comps. What we really look at is the overall annual guidance being up 20%, EBITDA margin being at 40%. And then a lot of folks are -- like to see is our free cash flow being at $100 million. So as we mentioned in the opening, Rule 60 company, doing well both on the top line, the expanding margins, the EBITDA margin and the cash flow, that’s just really how it lays out based on comps and historical numbers.
Unidentified Analyst: Understood. And then you kind of touched a little bit on kind of the inflation and wages and everything kind of too related. Are you guys seeing any kind of uplift in terms of your Priority Engine and BrightTALK offering? And then number two, on kind of your own end, are you guys seeing anything in terms of hiring capacity and your ability to hire people in the tight labor market?
Mike Cotoia: Yes. Good questions. On the Priority Engine and the BrightTALK offering, yes, we did launch that we’re integrating -- that we have integrated and offered customers that have Priority Engine have access to the BrightTALK capabilities and purchase intent insights, which is really valuable. If you take a look at our organization, historically, we’ve been very text-based, white papers, case studies, editorial content, that really valuable purchase intent insights from customers or from buying teams, viewing webinars has been very valuable for us and for our customers, and it really helps close out that, I’ll say, 360 purchase intent insights and data information. So we have added the BrightTALK option of -- for any Priority Engine customer, they have to pay a fee for it, to have access to that data and has been going pretty well. In terms of hiring capacity, I think every company has been challenged and it’s been, I’m not going to say it’s easy to hire people in this market. We’ve all seen and read the press clippings. We’ve seen what’s going on with the labor market. I will say we’ve done a really good job of hiring really good people across the key areas of our investment, on product development, product marketing on our sales side, technology, engineering, and it is competitive, but I would say our team has done a really good job. And we have a really strong tenure in terms of people that stay with the company for a long time. So that bodes well. So against the market, I’d say we’re holding up pretty well.
Operator: Our next question is from Bhavin Shah from Deutsche Bank.
Bhavin Shah: Great. Congrats on the great start to the year. Just following up on a lot of questions regarding the macro and the impact that can have on the IT spending environment. Just your commentary thus far in your shareholder letter was pretty clear that you haven’t seen any impact yet. But maybe if you go month-by-month into March and April, have you noticed any change in spending patterns or have you been changing end user traffic. And then as customers -- you talk about customers focusing more on ROI projects, are you seeing a shift in spending from some of your brand solutions to maybe Priority Engine?
Mike Cotoia: Right. Bhavin, in terms of the macro and month-to-month, we haven’t seen that right now. Our bookings on revenue have been strong. I mean we see -- we obviously observe what’s going on in the market. But across our bookings, our revenue and across the regions, they’ve been pretty strong. And I think it does go back to, as I mentioned earlier, I know there’s inflation and interest rates and company’s valuations are going down, inflation rates and interest rates are going up. But those trends remain the same. And yet in an IT environment, like if you look at enterprise IT today versus 10 years ago, companies are running their business on software and SaaS and their cloud, it’s really hard to cut back on that. If you ask the company to go cut back 10% of your IT budget, it will be really hard because they’re running their sales, their marketing, their finance, their CRM, their ERP, their cloud management. Really difficult to do so. I also think in this trend when things get tighter and if that does happen, we look at it and say there’ll be some more scrutiny on purchases, right? People might be looking at, say, "All right, I’m spending 50 -- 5, 6, 7, 8 figures out there." To us, that usually translates into more research online. And people have to make sure they’re getting the right information to make sure they are justifying their expense or their investments that they’re going to put in, and that bodes really well for a company that invests in content, permission-based audience and can throw off the first-party purchase intent signals. So if I’m also on the vendor side, I have to make sure I understand the quality of the data that I’m getting, how to leverage the data that I’m getting, how do I identify where my existing customers, what they’re doing, what my prospects are doing and where the buying centers lie. And we are the windowpane into our customers’ markets, their personas and their buying teams. So that quality that we have should bode well. And we may see a shift down the road if things tighten up from some branding to demand gen or demands at the Priority Engine, the beauty of the business and the power of the business is that all of our products are purchase intent-led because of their content, permission-based audience and first-party data. So as long as where they have to support our customers on it, we feel we’re in a really good position.
Bhavin Shah: Super insightful. And then maybe to shift gears a little bit. Can you just provide an update on what you’re seeing within the health care IT market? How has the integration of Xtelligent progressed thus far this year?
Mike Cotoia: Sure. Good question. So health care IT markets done well. We’ve done some in -- some operational efficiencies in terms of like campaign fulfillment and execution on that, making sure that we coordinate our efforts. That business is running on its own. We’re really excited about that because our plan on that was to let this run for about a year as we start developing additional Priority Engine segments, leverage the BrightTALK channel platform that we can then go in and sell a position into our health care and IT customers. We believe that’s going to bring a competitive advantage to help grow audience and revenue and eventually long-term subscription revenue. So it’s on track from the acquisition of what we’re doing. We’re really excited about that.
Operator: Our next question is from Jason Kreyer from Craig-Hallum.
Jason Kreyer: Two for me. So first, just in the shareholder letter, you talked about conversations with clients around inflation, interest rates, COVID, things like that. Clearly, you’re not seeing any of that impacting the fundamentals. I think you’ve already alluded to that. But just curious if you can give some color on how those conversations progress. And how you anticipate that manifesting in the business over time? And then just as a follow-up, any updated commentary on the sales use case and how that’s progressed over the course of the quarter?
Mike Cotoia: Great. Yes, in terms of when we’re talking to our customers, I mean, most of our customers understand that the enterprise IT market is competitive and it’s fairly healthy. And when a volatile market like we’ve seen right now happens, whether that’s a quarter or it’s near term. I think most of our customers understand their focus becomes on quality and ROI. Like there’s not -- you can have as many tools, platforms, whatever you want to do. And maybe when markets are screening, people are investing a lot -- across a lot of different tools and platforms and technologies. But when they start seeing things getting tightened up, they really want to focus on quality data and ROI and understanding where their buyers are, their existing customers too because they got to get really tight with them, as well as prospects and what those buying centers are doing. And if you think about our model for 23 years, when you think about the model that we’ve had with ESG and BrightTALK and Xtelligent. When you are producing and publishing relevant information that’s going to help assist buying teams make very key decisions for their respective organizations, have a permission-based audience and have access to first-party purchase intent insight. Especially during a time when Google is eliminating third-party cookies, that’s coming under scrutiny, privacy with non-permission based audience members, customers really honing in on that. So I mean I can’t predict the future. But the way we look at this and what we’re seeing is that this is a short-term volatile market, our customers understand quality and ROI, and we understand that. Those trends that we mentioned are not going away. When I talk about those trends, again, I just want to make sure the healthy and competitive IT market, modernizing sales and marketing departments, privacy and this whole shift in the digital transformation of face-to-face events; buyers want to sell service, they want information on their dime, on their time and how they want it, that bodes really well for us. As far as the sales use case, it has worked really well. Historically, as you all -- as you know, Jason, when we launched Priority Engine really focused on the marketing, the marketing use case. And it’s still -- we have -- our marketers are the key to what we’re doing because they’re the ones that absorb the data, will leverage ABM plays, will do with nurturing campaigns, competitive takeout campaigns, alliance campaigns and that’s been really critical. That data has got into the hands of sales and sales say, "Wow, this is really accurate stuff. I know these accounts, these are the active prospects." The fact that we can deliver account and prospect-level intelligence because of this permission-based audience is such a huge competitive advantage. And then we lay this into a different workflow for sales use cases, territory management, helping them to easily update into their CRM system, rank and stack their individual prospects, not just at the account level but at the prospect level. And we’ve seen really good adoption on that. And we see it by our usage and by also the numbers and the revenue. I will say we are spending a lot of investment on the marketing use case as well. Making sure we’re updating the integrations, through integration and Platform as a Service investment we’re making to get into tighter integrations, both on the marketing and sales, to make sure we have analytics, to show -- and dashboards, to show how our marketers are doing against their ABM strategy or against their competitive takeout strategy, with their partner alliance strategy. So having both of these investments working simultaneously should bode well because when you can bring marketing and sales together with the commonality of really quality data and you can get them on the same page, we’re doing a lot for our customers. And in turn, they’re doing a lot for their business.
Operator: Our next question is from Joshua Reilly from Needham & Co.
Joshua Reilly: Congrats on the strong execution. Curious, what are the trends that you’re seeing in QSO reports given that these were primarily quarterly agreements that performed pretty well during the COVID era. As customers who are using these reports during COVID adopt Priority Engine? Are you seeing that they’re also keeping the QSO reports in place going forward as well? Or what color can you give us there?
Mike Cotoia: Yes, Josh, we don’t break out the revenue by product. But I’ll tell you, part of the overall purchase intent driven solutions that we offer the QSO reports, and we’ve seen continued success. And really how customers are doing this, right? They’re leveraging an integrated approach. We’re seeing that more and more in terms of Priority Engine, but they’ll also leverage the content syndication, the contextually alive branding in the QSOs. So Priority Engine, if you really break this down, will identify the accounts and the individual prospects in market right now that we’re ranking based on their first-party purchase intent behavior, their insights, the type of content they’re reading. It also shows which of those prospects and customers are not only active but are they active with you, Mr. or Mrs. vendor. So now this content syndication play comes in and it gets integrated because we want to identify who’s active, but we want them to engage with good content through content syndication into branding elements, so they’re actually engaging with the customer. And then the QSO portion fits in nicely because these are further down file. Some things happen in the next 12 months, if you want to get to see a field team, so they work really well together. And we’re actually seeing some of our overall revenue, which was historically only Priority Engine, these integrated online content syndication, QSO, branding and Priority Engine turn into long-term contracts. And that’s really important because Priority Engine to us, I don’t care if it’s at 18% growth or 25% growth. I’m looking at the long-term revenue where customers are taking their content marketing, their QSO, their branding and part of the -- and their Priority Engine to stay in front of buyers, especially during times of market volatility. So we’re seeing good demand across all of that.
Joshua Reilly: Got it. No, that makes sense. That’s helpful. And then -- on gross margin, it was down sequentially, but up nicely year-over-year, which is the more important metric given the seasonality around that. Can you just speak to that seasonality around gross margin and what we should expect here in the rest of the year?
Mike Cotoia: Yes. I think the sequential is Q4 revenue just to Q1, Q1 is simply a lowest revenue quarter. Q4 is the highest revenue quarter. I think that you’ll see, Dan, what do we have for adjusted gross margin, 76%. Yes, I would model at 76% for the year in that range. It might be up a point, down a point during the quarters, but around 76% has been pretty consistent.
Operator: Our next question is from Eric Martinuzzi from Lake Street.
Eric Martinuzzi: Yes. You pointed out the indicators of healthy spend -- IT spending environment as your kind of growth point number one. Just curious to know your organic traffic, how much did that increase year-on-year?
Mike Cotoia: I don’t think we report that. I can tell you that our organic traffic is still in the mid-90%. So we haven’t seen a dip one. And actually, we’ve seen -- Eric, I don’t have the exact numbers on that, but we’ve seen that been fairly strong. The Google algorithm changes have been pretty favorable for us right now. At the end of the day, they’ve got to favor good content, good quality content and relevant content. So our organic traffic is in the 90% plus and it has been consistent for the last many years.
Daniel Noreck: I can say that we see strong double-digit growth on organic traffic to our websites. So in terms of question about IT spending activity, that’s -- we’re not seeing any slowdown at all in terms of the amount of research effect. We’re seeing growth pretty -- very healthy growth to our traffic levels.
Eric Martinuzzi: Good. That’s helpful. Then you talked about the content syndication. Anything -- any numbers you can give us around the demand for -- it sounds like ESG is really good strong demand for their services. Any numbers that you can give us associated with that.
Mike Cotoia: Yes. we -- across the board, we’ve seen strong growth, Eric, across all the products. I’ll say like when you look at content syndication and you take a look at what the markets are and what’s going on in that. We can know who every player is in the market, have a view into those markets for our customers and identify those by accounts, individual prospects or buying centers. But our customers, they have a real challenge. And we understand this. On producing really good relevant content and updating that content and making it impactful and relevant to engage with the right prospects and buyers. The ESG capability set with their analysts and [indiscernible] will help take market research-driven data and help drive this content that is very strategic for our customers. And they’re working with them early in the sales cycle before a campaign even starts. And they’re understanding their product strategy, their road map. It can even be before a product gets launched. They know all the information about the data. So when we can equip our customers with really valuable and relevant content, that really does help. That is such a huge ingredient because it can’t be all technology and trying to scrape the web and try to be -- our customers, we’re going to show them who’s active, what they’re active in and who to engage with. It’s up to us to help our customers get them to engage with them effectively and consistently. So we don’t only break out the numbers, but we do see a really good opportunity with this whole content to close, helping our customers from the beginning, be very strategic on this, generate the right content, put it to the right campaigns, help prioritize and mobilize against the right accounts and provide a higher propensity for our customers to close business, and that’s the end game.
Eric Martinuzzi: Okay. And then last question for me. Your Global 10, they’re typically 18% to 20% of your revenue, just interested in the customer stratification in Q1. Was that about the same as it’s historically been?
Mike Cotoia: Yes, it has.
Operator: Our next question is from Bryan Bergin from Cowen.
Bryan Bergin: Can you first just comment specifically on your growth outlook for Priority Engine for the balance of 2022?
Mike Cotoia: Yes, Bryan, I mean, we’re projecting overall growth for the year of 20%. As I mentioned earlier, I know it’s a number -- and Priority Engine is our flagship purchase intent product. And we put a metric out there, of 20% growth. I’m not that concerned with the actual number of that product because it does support and it is the catalyst for all of our products. So people had asked us before. "You guys go through COVID, you got the COVID bump. Is that coming back down?" And I look at it and say, listen, if you look at the business profile of TechTarget. In pre-COVID, we’re growing at high single digits, low double digits, and now we’re growing at 20%. And when you can highlight to you vendor, your customers, yes, Priority Engine is the trojan horse that gets you in there and provides the #1 platform in our estimate in the market because of the content first-party purchase intent data and permission-based audience, but it provides so much more than that. It also shows our customers how they’re doing against their competition. What’s their share of voice? If they look -- we can show a view into an account and say there’s 22 active prospects right now inside of this account that are active on hybrid cloud. But none of them are active with you. So the customer’s first instinct is -- why aren’t they active with me? And our response to that is you don’t have the right or the most relevant content in front of these folks. So they’re going to go invest in producing more content or coming to us now to say, we need more content. Because not only do we want to know who those 22 people are in that account that are looking at hybrid cloud, we want to make sure we’re engaging and influencing 5, 10, 15 or all 22 of those. So that’s -- the number is 20% growth for the year. But again, I’m looking at this long-term revenue under long-term contracts. We reported 41% of the revenue this quarter, [indiscernible] would be 40% plus this year, and we’re doing the right things, and that’s not just from Priority Engine. That’s from our other products as well. Hopefully, that helps.
Bryan Bergin: Yes, it does. That’s fair. Okay. And then the second question is a follow-up on volume or I guess, activity. So just to your analogy about face-to-face events becoming like traditional newspapers to the benefit of the virtual events in the webinar format. I’m curious what you’re expecting in the volume of activity that BrightTALK will host this year. So just any quantification or expected like user flow or event count that’s going to flow through BrightTALK this year versus last year?
Mike Cotoia: Yes, that’s a good question. We’re doing a lot of introductions of new products on the BrightTALK side and combining with TechTarget and ESG. So recently, we just launched a product called our analyst original. So we’re leveraging the ESG analysts on a topic that’s hot in the market, that’s relevant in the market, hosted on the BrightTALK platform. And we want to make sure that those are episodic content and topic relevant and scheduled throughout the year. We just launched our summits on the BrightTALK again, where customers can host their own summit or they can have an editor or an expert in ESG analysts, and they can again, around a topic that we’ll pick or a topic that they’ll pick. And then we just launched a thing called our [App Summit] solution. So people talk about some of these larger industry events like VMworld, RSA, InfoSec, and a lot of these are in person, but they’re also offering a hybrid model on that, an online registration model. Those events actually do help us as well because we’re on the floor at those events like for VMworld, we post the best of VMworld. Those are all the best products that get judged by our guys. So what does that do? It provides really good content for us. It provides acquisition to audience, but it also provides a revenue stream on sponsorships and things that we’re doing. And we’re doing that for VMworld. We have the App Summit for InfoSec, I think in Europe in June. And RSA here in North America. So we’ll start seeing the activity on the BrightTALK platform. But again, it will be integrated with all of our offerings in terms of what we leverage with ESG on the analyst side, what we’re doing on our editorial side and on the BrightTALK platform.
Operator: Thank you. This is all the questions we have today. This concludes our call. Thank you all for joining. You may now disconnect your lines, and have a lovely day.